Operator: Greetings, and welcome to the Primerica's First Quarter 2024 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded.
 It is now my pleasure to introduce your host, Nicole Russell, Head of Investor Relations. Thank you. You may begin. 
Nicole Russell: Thank you, operator, and good morning, everyone. Welcome to Primerica's First Quarter Earnings Call. A copy of our earnings press release, along with other materials relevant to today's call, are posted on the Investor Relations section of our website. Joining our call today are Chief Executive Officer, Glenn Williams; and Chief Financial Officer, Tracy Tan.
 Our comments this morning may contain forward-looking statements in accordance with the safe harbor provision of the Securities Litigation Reform Act. We assume no obligation to update these statements to reflect new information, and refer you to our most recent Form 10-K filings as may be modified by subsequent Form 10-Q for a list of risks and uncertainties that could cause actual results to materially differ from those expressed or implied.
 We also reference certain non-GAAP measures which we believe provide additional insight into the company's operations. Reconciliations of non-GAAP measures to their respective GAAP numbers are included at the end of our earnings press release and are available on our Investor Relations website.
 I would now like to turn the call over to Glenn. 
Glenn Williams: Thank you, Nicole, and thanks, everyone, for joining us today. Our first quarter's results reflected the fundamental strength of our main lines of business, Term Life and Investment and Savings products as well as the continued growth of the sales force. The resilience of our model is illustrated by our ability to deliver this growth in the face of ongoing economic pressures facing middle-income families.
 Starting with a quick recap of our financial results. Adjusted net operating income of $137 million increased 4% compared to the prior year period, while adjusted operating income per share of $3.91 increased 10%. The earnings power of our core businesses was partly offset by the underperformance of our Senior Health business, which incurred a $14 million loss during the quarter. 
 On the capital deployment front, we repurchased $109 million of our common stock and paid $26 million in regular dividends during the quarter. As noted in our release, the Board recently declared a $0.75 per share dividend payable in June.
 We are pleased with our sustained momentum in growing our distribution capabilities. Our representatives played an important role in educating middle-income households and helping them find appropriate financial solutions. During the first quarter, we recruited over 110,000 individuals, representing a year-over-year increase of 18%.
 New life licenses continue to benefit from the strong pipeline of new recruits. During the quarter, nearly 13,000 reps obtained a new life license, up 16%, fueling 5% year-over-year growth in the size of our sales force to end March with a total of 142,855 life licensed reps.
 The appeal of our business opportunity continues to resonate, and the current economic uncertainties can be a catalyst to motivate individuals seeking additional income opportunities or an alternative to their current employment.
 Our model is unique. Recruits who already have a life insurance license become part of Primerica at no cost. Unlicensed recruits pay a licensing fee of $99 to cover the cost of the entire exam preparation and licensing process for both life insurance and securities licenses. The vast majority of our new reps also pay a technology fee of $25 per month, providing communications, training, recordkeeping and transaction capabilities.
 Both the licensing and technology fees offset the company's hard costs. None of our representatives are compensated from these fees. We continue to see good traction in recruiting, and we have a solid process in place to help new recruits prepare for their licensing exam, which leads us to anticipate full year growth in the size of the sales force in 2024 will be above 3%.
 Let's look more closely at sales results. During the first quarter, we issued 86,587 new term life policies, representing a 2% increase over the prior year period. We believe household financial pressures from compounding increases in the cost of living may be causing some headwinds to new sales.
 Productivity, as measured by the number of issued policies per life license rent per month, was 0.20 compared to 0.21 in the prior year period and within our historical range. Looking ahead, we anticipate full year growth in the number of policies issued to be around 3% to 5%.
 First quarter total investment product sales were $2.8 billion, up 20% compared to the prior year period. We are seeing strong demand for products across the board, including U.S. and Canadian mutual funds, variable annuities and managed accounts.
 Preliminary results show that April sales are similarly strong. However, we remain mindful of the impact that current economic uncertainty can have on middle-income families. Barring an unexpected change in the market sentiment, we anticipate full year sales to increase by as much as high single digits during 2024.
 Ending client asset values continue to benefit from strong equity market appreciation, ending the quarter at $103 billion. This marks the first time in our history that client assets have exceeded $100 billion, and serves as an important reminder of the role that Primerica plays in helping middle-income families save for the future.
 The latest Department of Labor fiduciary rule is now final, with an effective date in late September 2024 and a 1-year period for complete implementation of the rule. With almost 75% of our ISP business in retirement accounts, we made changes to our process in response to the 2020 version of the rule. For example, we already acknowledged fiduciary status for most retirement recommendations.
 We're reviewing our sales force programs and will consider making adjustments as needed. Should the rule become effective on schedule, we expect no more than modest additional changes in our sales processes if changes are needed.
 Turning next to Senior Health sales results. The number of approved policies during the quarter declined 18% year-over-year. As we saw last quarter, some of the pressure on new sales was due to us having 16% fewer e-TeleQuote agents compared to the first quarter of 2023. There were also headwinds due to an issue verifying the eligibility of applicants for both Medicare and Medicaid because of a service disruption at Change Healthcare that impacted the entire industry.
 The second quarter showing sales growth with more improved policies in April year-over-year, which represents the first time we've seen year-over-year application growth since acquiring e-TeleQuote. Early indicators from our revised agent recruiting and onboarding process are showing promising results, and tenured agent attrition is down 40% compared to last year.
 Our first quarter financial results were adversely affected by a $7.8 million negative revenue tail adjustment to reflect lower renewals. An increase in policy churn was created by certain carriers making modifications to plan benefits this year, driving up competition and plan switching. Some of the switching occurred among applicants who were e-TeleQuote clients both before and after the switch, but are still included in the churn calculation.
 As I noted last quarter, we've been carefully studying how to grow e-TeleQuote into a profitable long-term business. We retained a global management consulting firm to help us thoroughly understand the opportunities and challenges in this business. We concluded that the senior health industry remains attractive, with an aging population that will continue to need assistance in selecting a health care plan appropriate for their situations.
 It's also clear that Primerica representatives serve as a valuable source of referrals for e-TeleQuote and provides us with a unique advantage. However, the industry is continuing to evolve and unknowns remain, such as the recent CMS rule making and competition among carriers to attract new clients.
 With the first quarter results final, we expect a loss of around $25 million to $30 million in 2024. We are taking measured steps as we continue to evaluate this business, and we do not anticipate a need to contribute capital to the business during 2024.
 At the end of the quarter, we confirmed that a $50 million payment will be made to us under our representation and warranty insurance policy that we purchased in connection with our acquisition of e-TeleQuote, the full amount we sought under the policy terms. Agreements provided for the payments have been signed, and we expect to receive the fund shortly. The proceeds of the claims will be recognized as a gain in earnings in the second quarter and excluded from the company's adjusted operating results to provide comparability to the prior year results.
 We've seen tremendous change in the senior health industry since acquiring e-TeleQuote, and its financial results are lagging our expectations. However, the results for our core businesses -- business segments are strong. Primerica is solid, and our business is well balanced.
 Finally, excitement is building as we head into our convention in July. The event is possibly current momentum, and we expect strong activity afterwards. Our convention is an important element of our larger vision to continue to grow and serve middle-income families across North America.
 With that, I'll hand it over to Tracy. 
Tracy Tan: Thank you, Glenn. Good morning, everyone. Starting with the Term Life segment. Year-over-year operating revenues of $440 million increased 5%, driven by 6% growth in adjusted direct premiums, while pretax operating income of $138 million rose 6%.
 Looking at our key financial ratios, both the benefits and claims ratio at 58% and the DAC amortization ratio at 12.2% were consistent with the prior year period and stable as expected under LDTI accounting. The insurance expense ratio was 7.8% in the current year period, generally consistent with the prior year period. The segment operating margin was 22%, unchanged compared to the prior year period.
 As we noted over the last few quarters, [ mortality ] remains generally in line with our expectations. We continue to see higher lapses across multiple durations. We believe that the current higher cost of living likely continues to put financial stress on middle-income families, leading to those higher lapses.
 Persistency on policies issued over the last year was generally in line with our assumptions. Our guidance for full year 2024 remains unchanged. We expect ADP to grow approximately 5% to 6%, and our financial ratios to remain stable, with the benefits and claims ratio around 58% and  gas amortization ratio around 12%. We are also reiterating our full year guidance, with the operating margin to be around 22%. Although I want to remind investors that insurance expenses are subject to some seasonal variations.
 Turning next to the results of our Investment and Savings Products segment. Operating revenues of $244 million and pretax operating income of $66 million increased 16% and 17%, respectively, benefiting from very strong sales and growth in the size of client asset values.
 Sales-based revenue of $89 million rose 23%, due to 24% higher revenue-generating sales, while asset-based revenue of $129 million rose 15% in line with a 15% increase in average client asset values. Sales commissions for both sales and asset-based products increased in correlation with revenue.
 In the Senior Health segment, we incurred $14.2 million pretax operating loss which included a $7.8 million negative tail adjustment. Excluding the tail adjustment, the loss was $6.4 million compared to a loss of $3.8 million in the prior period.
 The current quarter was pressured by lower sales volume and a higher cost of acquisition related to the -- relevant to the number of approved policies, primarily driven by the cost of third-party technology providers and investments in hiring and training new agents.
 LTV, which included marketing development funds in the calculation, was 8% lower than the prior year period after reallocating marketing development funds through LTV in the prior year period. This is a result of increased policy churn as certain carriers modify plan benefits, which encourage switching.
 The C&O segment recorded a pretax adjustment operating loss of $11.7 million versus a loss of $11 million in the prior year period, as higher net investment income was offset by higher operating expenses, which I will describe further in a moment.
 Finally, consolidated insurance and other operating expenses were $164 million during the first quarter, up 9% year-over-year and in line with our prior guidance. This reflects typical higher seasonal expenses as a result of timing of equity compensation vesting.
 The expense growth in the Term Life segment was more modest, due to the redirection of technology resources that supported our new Term Life product offering last year, 2 more infrastructure-related activities in our C&O segment this year.
 Overall, our expense increase was driven by growth in the business and increase in employee compensation as [ annual merit ] increases took place and the carryover effect of higher employee costs layered in the later part of 2023. We maintain that our full year 2024 insurance and other operating expense growth expectations is still on track for a year-over-year increase of around $40 million or 6% to 8% in 2024.
 Our investment asset portfolio remains well diversified and has relatively short duration of 4.7 years. The average rate on new investment purchases was 5.7% for the quarter with an average rating of A. The portfolio has a net unrealized loss of $231 million at the end of March, slightly higher than prior year-end, as rates increased during the quarter.
 We believe that the remaining unrealized loss is a function of interest rates and not due to underlying credit concerns, and we have the intended ability to hold these investments until maturity.
 With that, operator, I open the line for questions. 
Operator: [Operator Instructions] Today's first question is coming from Ryan Krueger of KBW. 
Ryan Krueger: First, just a quick one on the $50 million of proceeds. Do you have any expected use of that? Was that part of your original plan for the buyback guidance? Or do you just plan to retain that capital? 
Glenn Williams: I think our Board will take that into consideration as they discuss our capital deployment plans as we go forward. So it's part of the overall view of our total capital in the deployment. So we'll include it in that, Ryan. 
Ryan Krueger: Okay. And then just given recent market concerns over insurance sales practices of independent contractors, can you comment on how you view this risk within your company and your comfort level with the sales practices of your organization? 
Glenn Williams: Sure. We recognize those risks. And particularly, we have a very large and decentralized organization and sales force with a lot of new representatives. And so from the very construct of our business model, we've taken that risk into consideration and it starts with our choice of products that we distribute.
 We deliberately believe that simple products are most often right for middle-income consumers we serve, but they're also right for our sales force and therefore, are less prone to [ misselling ]. So it starts with a product set that is easy to do right and difficult to be wrong.
 But then in addition to that, we've got the training required by states or provinces for licensing, that's an industry standard that we use. And then we have a very robust surveillance and compliance regime in place, everything from annual compliance meetings to ongoing training, to in-office audits. We have an entire team of auditors that go into all of our offices every year across North America and see our business firsthand and report back to us with an audit process, as well as surveillance reporting looking for specific sales patterns or practices that [ we set off ] an early morning for us.
 And so I think, Ryan, one of the things that we recognized with our unique model is the need to dedicate significant resources to the process of making sure we do everything we can to prevent any misselling, but to also surveil for it and have compliance infrastructure in place to make sure we're aware of what's going on in the field.
 We have an exceptionally strong track record with our regulators, with our complaint reporting and the volume or lack of volume of complaints that's reported to regulators and also with our own client satisfaction capabilities. We do regular surveys for client satisfaction, and we get extraordinarily high scores on those. When we ask clients how satisfied are they, are very satisfied and satisfied comes back in the mid- to high 90s. Their desire to recommend to other clients comes back extraordinarily high.
 So in all the things that we do, we recognize that risk and make sure that we're planning around it to prevent misselling, but also be able to detect anything that goes on in our sales force, and we value our reputation very highly. So we make sure that we're upfront of all of that. 
Operator: The next question is coming from Maxwell Fritscher of Truist Securities. 
Maxwell Fritscher: I'm calling in for Mark Hughes today. Looking in Term Life, the average premium per policy, how do you see that trending throughout '24? And are you still seeing a little pressure there? Obviously, it had a little bump up this quarter. 
Glenn Williams: Yes. Max, it generally follows inflation pretty closely historically if you look at our trending over the decades at Primerica. But we are seeing a little bit of pressure. It's not increasing quite as much as it has historically. It's normally a fairly small 2%, 3%, 4% increase per year. Unless we do something unusual with our product set, it may have had a little noise in that trajectory as we rolled out the next-gen product line a little more than a year ago. So you might have seen a little bump in that.
 But as the cost of living unfortunately gets higher for middle-income families and they come under overall financial pressure, we are seeing a little bit of that in the lack of increase in average premium. And also, we believe it's a headwind to sales.
 Our sales coming in at 2% growth, we were able to overcome those headwinds and still show growth, but I believe our sales would have been stronger had it not been for the compounding cost of living. So I think you're seeing that impact throughout our businesses because it's impacting all middle-income families. 
Maxwell Fritscher: Yes. That's helpful. And in our model, we're showing a good bump in productivity versus 4Q. Anything underlying there that you're seeing? 
Glenn Williams: No. We constantly work on improving productivity. But as you well know, it's traveled in that historical quarter for many years. We are sort of at the bottom of that quarter in this quarter, but a lot of that pressure is due to the significant size of the sales force growth.
 As we grow the sales force faster, that productivity fraction, the denominator becomes bigger and it makes the fraction or the percentage a little smaller. So it's a good reason to have it under pressure.
 But we are still within the historical range. We're very pleased with the combination of productivity and growth of the sales force, and believe we're in a very healthy spot right now. 
Operator: The next question is coming from Bob Huang of Morgan Stanley. 
Jian Huang: First question. On the recruiting side, you have quite a bit of new recruits and licensed rep growth this year -- or this quarter, sorry. As we move into rest of the year, you're obviously -- should expect even more coming up.
 Is it fair to assume that the productivity level will likely trail off versus 2023, given the amount of new recruits and newly licensed representatives that are likely to come into the pipeline? 
Glenn Williams: Yes, I think so, Bob. That's the discussion I was just having with Max, is it does put pressure on the productivity calculation as we grow the sales force rapidly. And newer agents generally are not as productive as those that have been around for a period of time. So you do see pressure on that for a very positive reason.
 I do think the cost of living is adding pressure because I do think it is a headwind to sales to a certain extent. So you've got two dynamics working that could push us and has pushed us to the bottom of the quarter.
 However, I don't see us getting much below our historical bottom edge of the quarter because there are also positives that come as we grow our sales force, we break into new markets and can access those markets more easily. So there's also a positive productivity that's buried in there. So we are seeing that pressure that you recognize, but don't expect it to be too far out of the historical norm. 
Jian Huang: Okay. My follow-up is on the Senior Health side. You talked about LTV to CAC of about one currently. It feels like the segment has been facing some challenges for several quarters now. Just curious how we should think about growth, scale, profitability and how to improve that LTV to CAC ratio? 
Glenn Williams: Yes. We are working on that on all fronts. I mean that is the blocking and tackling of that business is the relationship of LTV to CAC. And so as we've seen, there are dynamics that we can control, the sales, the quality of sales.
 And then there are issues that happened to us like this quarter, when we had Change Healthcare, the industry-wide provider, went down due to a cyber attack. I think that's well known, not just in our -- this industry, but across the health insurance business, and that certainly impeded sales. So there are outside factors that we have less control over, and we're learning some hard lessons on some of those as we go.
 But as I said in my prepared remarks, we did feel like we wanted an outside perspective, and so we brought in a global consulting firm and spent significant time understanding the industry, the market and which direction we thought the trends were going. And there are still a number of unknowns and some bumpy waters, bumpy road ahead.
 But at the same time, we do believe the opportunities continue to exist. As I said in my remarks, we do believe we have an advantage with the Primerica sales force that's unique to us. And we do believe, over time, we can work through the challenges and build this to a profitable and sustainable business.
 As we said, it's not going to happen this year. As we look forward and have more clarity going into 2025, we'll keep you posted on when we think the numbers will be significantly different than they are today. But we're certainly giving it, I believe, the right amount of focus and using the right resources to get the answers to those questions. 
Operator: The next question is coming from Suneet Kamath of Jefferies. 
Suneet Kamath: Glenn, I think you just answered my question, but I'm going to go ahead and ask it anyway. Have you thought about just shutting down the Senior Health business? And the reason I ask is sort of twofold. Number one, your core businesses are performing very well despite the economic pressures that you've talked about.
 And then number two, we did see another company that got into a sort of a tech-enabled distribution platform go down that same path where they decided to shut it down. Clearly, this is not the business that you thought it was when you bought it, but was that ever a consideration? 
Glenn Williams: Suneet, as we have reviewed it internally and particularly with those external resources, we looked at all possible options as well as the sequencing of being able to avail ourselves of those options.
 So the answer to the question is, yes, we've looked at all the possibilities. We're aware of that situation that you mentioned, although I think it has some very different characteristics. There was a tremendous amount of capital being deployed against that business that was recently shut down by a competitor. And we're not seeing that. It's -- we're not putting capital into the business, and that's one of the reasons that we slowed it to the point we did, so that we could understand it before we needed to start making investments in it.
 So we've looked at all that and we do believe at this point that there is a path to success, to sustainable profitability. We are putting capital in it as we learn the business. And so we feel like there's not a tremendous amount of pressure, but we are looking at all options as we go forward, and we'll continue to assess how those make sense as time goes by. 
Suneet Kamath: Got it. Okay. That makes sense. And then just on the tail revenue adjustment that you made, can you just unpack that a little bit in terms of what drove that? And do you see that as sort of a one-and-done phenomenon? Or is this something that we could see in future quarters? 
Glenn Williams: We're going to Tracy for that. 
Tracy Tan: Suneet, to talk about the tail adjustment, and it really is driven by the loss of policies due to increased policy churn during the renewal process. And given really the competitive carrier dynamics that we saw and the weakness in the AEP that we had previously disclosed.
 In terms of tail, as we look forward, I want to just emphasize the seasonality of the business. Fourth quarter is really where the [ ADP ] happens, there's a lot of volume coming through. And first quarter is when OEP happens where people can make their minds up and make switches, if they need to, between carriers.
 So that's really where the volume come through and where you would see the big tail adjustment. So you're not going to be expected to see the similar level of scale of tail adjustments even if there was some. 
Suneet Kamath: Got it. And then if I could just sneak one more in, just a follow-up to Ryan's question on field force management. I don't know if you've given the statistic, but do you know the percentage of your sales force that exclusively focuses on Primerica product as their only job versus those that have another job, be it teachers or what have you? 
Glenn Williams: Yes. That is moving, [indiscernible], Suneet. Suneet, if I could add one more comment to what Tracy said in your earlier question, and I'll circle back to that one.
 If you're looking for a silver lining in what happened with the movement from carrier to carrier because that is, as carriers improve their products and their features, people tend to reshop, we're all aware of that. But as we saw that happen during this [ AEP ], we did see a balancing of our providers. We were very heavily weighted into a single provider. And after the smoke cleared, after this, after people moved around, we see a much better distribution among our providers, which gives us some comfort that we have a more balanced diversification among providers.
 So one provider does something that we don't like, changes compensation or marketing support, we don't have so many eggs in one basket. So there actually was a positive of the shipped between providers that took place in [ AEP ] that may give us a little less bumpy road in the future. So I wanted to throw that in.
 On the sales force management, it is a moving target because people are accepting jobs, changing jobs, adding on a part-time job, it's very difficult. But one thing we do know is that by contract with us, our 6,200-plus regional vice presidents are required by contract to be full time with us and give a full time best ever. So that's where we believe it's critical to be committed to Primerica is when you're in that leadership role of Regional Vice President. And so we know that.
 There are other full-timers that are nearing RVP that are working full time, but you've got such a huge distribution of the definition of that. We have people that come to Primerica for their last stand at the end of their career. And they work full time with us in their '60s maybe, but that may not be the same as full time of somebody in their 30s that's supporting a family.
 So it's very difficult to gauge. If I was going to guess at a number, I'd say you've got the 6,200 RVPs, you've probably got another anywhere from 5,000 to 10,000 others that may be full time in there, but that's entirely a guess just by observing the business over a period of 40-plus years. 
Operator: The next question is coming from Mark Hughes of Truist Securities. 
Glenn Williams: We almost missed you there. Glad to have you. 
Mark Hughes: Yes. Well, things get crowded these days. 
Glenn Williams: I know it's a busy earnings morning. Thanks for making time for us. 
Mark Hughes: Yes. No, no. The convention, I think in times past, you had your posture around kind of new recruits and the offers and the incentives to try to sign up new recruits in conjunction with the convention. I think the -- if I'm thinking about it properly, you've had some variability in how you approach that.
 Anything you would say about this year's convention? Would we normally expect kind of the meaningful uptick in new recruits or are you taking kind of a different approach this year? 
Glenn Williams: Yes. I think it will be similar certainly in spirit to what you've seen in the past, Mark. We are working hard to make our convention impact more than even the whole year that it's in. We start doing incentives towards the convention and recognition at the convention even at the end of last year. And so we try to make convention impact spread over 12 to 18 months.
 But ultimately, when we do announce incentives that happen at the event, and they are effective for a few weeks or a few months after the event, inevitably, you see a spike. We will be making some of those announcements. We are trying to make sure they're effective long term. They don't simply just create a blip in the numbers for a short period of time, but they do that and they have a lasting impact. So as we change from convention to convention and we're looking at what occurred last time, we like to keep the increase in activity, but we're working toward adjusting those incentives so that they have a longer-term impact.
 And so that's the direction of change. We have tremendous recruiting activity after the last convention. If we had a little less than last convention, but we had better licensing pull-through and more productivity, we would count that as a win. But you will be able to see the convention impact in our numbers, I anticipate, but we're looking for the longest possible impact, not just the largest impact. 
Mark Hughes: Very good. And then the -- you might have touched on this, but the -- any structural changes in the Senior Health business around carriers' appetite for Medicare Advantage policyholders? I think maybe some have said they're just not as enthusiastic. I could be misreading that. But anything that you're seeing in the marketplace that bears on kind of the long-term outlook in this business? 
Glenn Williams: Mark, those were some of the questions we asked as we went for outside advice on the industry to try to get a perspective other than just our own, having only been in this business a couple of years, and we ask those questions and more.
 And what we discovered and our personal experience is with the carriers that we represent, we're not seeing a change in appetite for distribution through our model or for distribution of the products that we are accustomed to. So there's still a strong appetite for the Medicare Advantage products that are kind of the lead products as well as supplemental products since we do both. But you're right, most of the sales activity is around Medicare Advantage.
 And we are seeing continued commitment to the model that we're a part of, the sales center or the [ televoter ] model. As we talk to these carriers, we're an important part of their distribution strategy. So we're not seeing, at this point, any lessons commitment to supporting the products we sell or using the model that we use as we go forward. That was on the positive side of the ledger on the analysis that we did. 
Operator: Ladies and gentlemen, this brings us to the end of today's question-and-answer session. We would like to thank everyone for their participation during today's conference. You may disconnect your lines and log off the webcast at this time, and enjoy the rest of your day.